Operator: Good day and welcome to Guidewire's Fourth Quarter and Fiscal Year 2016 Financial Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Richard Hart, Chief Financial Officer. Please go ahead.
Richard Hart: Good afternoon and welcome to Guidewire Software's earnings conference call for the fourth quarter of fiscal year 2016 which ended on July 31 of this year. My name is Richard Hart, and I am the Chief Financial Officer of Guidewire, and with me on the call today is Marcus Ryu, Guidewire's Chief Executive Officer. A complete disclosure of our results can be found in our press release issued today, as well as in our related Form 8-K furnished to the SEC, both of which are available on the Investor Relations section of our website at ir.guidewire.com. As a reminder, today's call is being recorded and a replay will be available following the conclusion of the call. During the call, we will make forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding trends, strategies, and anticipated performance of the business. These forward-looking statements are based on management's current views and expectations as of today, and should not be relied upon as representing our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. Actual results may differ materially, please refer to the Risk Factors in our most recent Form 10-K and 10-Qs filed with the SEC. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of non-GAAP to GAAP measures is provided in our press release. Reconciliations and additional data are also posted in a supplement on our IR website. During the call, we may offer incremental metrics to provide greater insight into the dynamics of our business. These details may be one-time in nature, and we may or may not provide updates in the future. With that, let me turn the call over to Marcus for his prepared remarks. I will provide details on the fourth quarter of fiscal 2016 and for the full year, and our outlook for Q1 and fiscal 2017.
Marcus Ryu: Thanks, Richard. Revenue and profitability were above the high end of our outlook for the fourth quarter, with total revenue of $141.2 million and non-GAAP net income of $61.9 million. License revenue was $88.2 million, with both term license and total license revenue increasing 20% from a year ago. Term license and maintenance revenue for the trailing 12 months totaled $268 million, an increase of 22% from a year ago and above our target growth of 20%. This performance capped an important year for Guidewire as we gained momentum in the marketplace with the growing adoption of Guidewire's insurance platform. We introduced new versions of all our products including the first cloud-ready release of our core product, Insurance Suite 9. And as of last week welcomed new colleagues from two acquired companies who will help us expand our value proposition to P&C insurers. This is a period of dramatic change for the industry filled with both new threats and new opportunities. We talk to insurers aiming to develop and compete with disruptive new business models to design new products to address emerging risks, to better leverage their existing data, and incorporate new data to price risk more effectively and to engage with their customers digitally with intuitive applications matching today's user's expectations. Guidewire's mission and opportunity is to provide the industry-standard operating platform for insurers to compete effectively in this dynamic landscape. Our continuing investments in research and development reflects this commitment. In the fourth quarter, we began new relationships or expanded existing ones with insurers of all sizes in multiple countries. These insurers adopted components from across Guidewire's insurance platform, our transactional core systems, our data and analytics products, and our digital portal. Our activity in the Tier 1 segment of our market was noteworthy. We completed a follow-on license in the quarter to farmers insurance, who located -- who licensed claim center for their primary personal lines business complementing their license of policy center for the same scope in the fourth quarter of last year. We also expanded our relationship with additional policy center and data management licenses for Insurance Australia Group, a Tier 1 insurer and the largest domestic insurer in Australia, also active in New Zealand and Southeast Asia. Finally, we initiated a relationship with MAPFRE Insurance, a multi-national Tier 1 insurer domiciled in Spain, which selected Insurance Suite in digital portals for a new U.S. subsidiary called QBE Insurance. These transactions when combined with enterprise sales to nationwide of our digital and data products, and the license at the start of the year to MS&AD of Japan continued to validate the confidence that very large insurers place in our software and our services personnel. As we always emphasize, however, our mission is to enable insurers of all sizes to adapt and succeed. In the quarter, we welcomed two new regional insurers to the Insurance Suite family; Alberta Motor Association Insurance, selected Insurance Suite, Datahub and InfoCenter worth personal and commercial lines, and Western National Mutual Group selected claim center for it's personal, commercial, and workers comp line. Outside of North America, we earned mandates from three new customers; San Cristóbal Seguros [ph] which operates in four countries in South America, selected insurance suite, digital portals, and data management. And Financi Quantio [ph] of Finland selected policy center, billing center, and digital portals. And in Japan, Nisshin Fire & Marine selected claim center and digital portals. As we noted in previous conference calls, sales of our data and digital products grew faster than expected accounting for approximately 25% of bookings in the fiscal year excluding the impact of an enterprise-wide relationship that we have with nationwide, which covers data and digital products. This growth confirmed the market’s strong appetite for solutions that improve how they make decisions and how they interact with their channels and policy holders. It also represented a satisfying validation for our platform thesis and our multi-year development efforts; 12 customers chose digital portals and 7 customers licensed one or more of our data products during the quarter. By the end of fiscal year 2016, 59 customers licensed one or more of our data products, up from 31 at the end of 2015; and 53 customers licensed one or more of our digital portals, up from 27 at the end of fiscal 2015. Of course, we continue to see sustained adoption of our core applications. We ended fiscal '16 with 115 policy center customers, up from 95 a year ago. 200 claim center customers, up from 170; and 122 billing center customers, up from 102 a year ago. Net of acquisitions; we increased our customer accounts in fiscal 2016 by more than in each of the last few years, and including the impact of EagleEye, we ended the year with 260 customers. Of these, 228 were Guidewire insurance platform customers, a net increase of 30 from fiscal 2015. EagleEye contributed an additional 23 customers. Not included in this figure are 14 customers gained through the acquisition of FirstBest which closed last week. In the future, we will report customers of EagleEye and FirstBest on a combined basis with Guidewire insurance pipeline customers. We also continued our track record of successful go-live's in the quarter with 10 core implementations completed in 8 different countries. Of these 10, one is rather noteworthy; Metromile, a relatively new entrant offering pay-per-mile car insurance went live with the cloud-deployment of claim center in under five months. We don't expect most implementations to be nearly this fast. The Metromile likely benefited from not having a legacy system, but it's encouraging to see the early results from some of our efforts to reduce cost of ownership and implementation time. In total, we ended the year with 162 customers live on core insurance suite products or 71% of our customer base. We also gauged our progress by the total direct written premiums we have under license for at least one of our core applications. This figure was up 18% to $342 billion, from $289 billion at the end of fiscal 2015. We are encouraged by this progress and the considerable runway ahead of us to serve the $2 trillion industry. This fiscal year was also characterized by an increase in strategic activity motivated by the success of our digital and data products and our discussions with many insurers. In that, we focused our efforts on new technologies that are industry specialized and directly address core competitiveness. When we announced our combination with EagleEye, we discussed how embedding predictive analytics and transactional workflows can sharpen underwriting and claims decision. FirstBest directly improved the most important of these workflows or complex commercial insurers. Their underwriting management system application is a collaborative environment that unifies many sources of risk-related information and standardizes and streamlines decision making. While it naturally complements Guidewire Policy Center, it can operate with multiple third-party policy systems to improve the speed and profitability of their underwriting process. Unlike the software we acquired with Millbrook in 2013, which required significant investment to bring to market effectively, the offerings of FirstBest and EagleEye are market-ready and can be licensed to insurers that have not yet licensed insurance suite. Indeed, Texas Farm Bureau, original provider of personal and commercial lines, inaugurated its relationship with Guidewire to its license of predictive analytics this quarter. Nevertheless, it's important to note that the full value and durability of these products will only be realized with the additional investments necessary to enhance their functionality and to integrate them into our platform. We expect to see greater sales traction once these milestones have been achieved, and we're confident that the returns generated from these investments will readily justify the increased near-term costs. Our strategic initiatives are not limited to acquisition. We have mentioned our work with a national brand name insurer to develop and deploy for a significant Greenfield effort, a cloud-based and digitally focused implementation of the Guidewire insurance platform. With this digital Greenfield engagement, we are bringing to market a new and enhanced digital offering, developing competencies in cloud deployment and for the first time as a company, taking responsibility for post go-live production. We were mindful of the economic benefit to us of this high growth Greenfield initiative, given that the fees agreed to under this arrangement grow with our customers’ direct written premium. During the quarter, we agreed to expand the scope of this project by adding another line of business. While our primary motivation was to accommodate our clients desire to accelerate it's time to market, the addition of a new line of business will likely accelerate the growth in VWP. This decision required careful consideration however, in light of the increased resources required. Unlike our traditional implementations which are served primarily by our SI partners with a modest compliment of our personnel, Guidewire is leading this effort. Allocating our services personnel to this project created modest capacity constraints in the fourth quarter and we hired aggressively in the second half of the year to avoid capacity issues and to meet for future demands. We anticipate going live with the first line of business during the latter part of fiscal 2017. This gain is important because as Richard will explain, recognition of all revenues; license, maintenance and services for this project will be deferred until we have delivered the first line of business and recognized radically thereafter. Turning to development, I want to underscore that the latest release of the Guidewire insurance platform in June represents the major events sent with new capabilities including our core Insurance Suite 9, Datahub 9, InfoCenter 9 and Digital Portal 5. Perhaps most significant is that our latest release is architected to offer insurers the choice of deployment options, both on premises and in the cloud on public infrastructure. We believe this hybrid architecture will enable those insurers who wish to migrate to the cloud to do so with their own pace. Our development efforts continue to receive distinctive recognition through instance were gratified in June that Gartner positioned Guidewire to full leader in their Magic Quadrant Report for P&C claim systems. To reiterate, we serve a very large global industry that's in the early base of a major transition to a more digitally competitive future. Our ambition and commitment is to deliver an industry-standard operating platform that fully replaces the legacy generation of core systems, enables deeper analytic insights from data and provides compelling digital experiences for agents and policyholders. Of the many tasks the Guidewire must undertake to earn that industry-standard and premature, we come to the floor for FY17. First, achieving stronger market adoption in EMEA, especially in the large markets of continental Europe which are under-represented for both Guidewire and insurance software overall. Second, achieving state-of-the-art breadth and technical quality for our product platform which now includes the offerings of two acquisitions to be integrated. And third, after a year of approximately 10% gains and project efficiency, to make further strides in our long-term quest to drive down customer TCO. These intangibles work on product completeness and in developing strong competencies in deploying and managing production customers in the cloud. These all require investment and considerable effort, motivated by the rewards of accelerating market adoption and industry-standard etcetera. I now turn the call over to Richard to review our results and to provide our financial outlook for FY17.
Richard Hart: Thank you, Marcus. As Marcus indicated, we exceeded our guidance for fourth quarter revenue and earnings. Total revenue in the quarter was $141.2 million, with license revenue of $88.2 million. Within license revenue for the quarter, term license revenue was $82.5 million, an increase of 20% from a year ago. Our quarterly results benefited from an early payment of approximately $2.7 million which contributed to revenue and earnings upside. Under our model, we recognized revenue under the earlier due date or payment receipt. Sometimes customers remit payments early and these payments cannot be anticipated. A sizeable payment of this kind can modestly increase growth and profitability metrics in the current period and lower than subsequent periods to with the guidance I will review for the first quarter and for fiscal 2017 is impacted by this lack of revenue. Perpetual license was $5.7 million in the quarter reflecting anticipating increase in perpetual licenses in the second half of the year. As we have noted, a limited number of transactions in any quarter or year can result in this level of perpetual license. Nevertheless, the term license model remains the predominant way we license our software. Maintenance revenue was $17.0 million for the fourth quarter, up 29% from the year ago, and above our guidance range. Maintenance revenue benefited in part from the recognition of approximately $0.9 million in revenue that we have not been able to recognize previously in fiscal 2016 due to certain contractual provisions. Service revenue was $36.9 million, a decrease of 9% from the year ago. The result was slightly below our guidance range due to the delay of several projects and to a lesser degree, capacity constraints in the Americas regions which developed in the second half of the year with the increasing scope of the digital Greenfield effort that markets noted and for which no revenue was recognized. We anticipate the services revenues will return to growth in the next fiscal year. For the fiscal year total revenue was $424.4 million of which license revenue totaled $219.8 million, above our guidance range of $211 million to $215 million. Within license revenue, term license revenue was $208.4 million, up 23% from fiscal year 2015 and perpetual license revenue increased 15% to $11.3 million. Adjusted for the effect of the early payment I described, term licenses grew 21% year-over-year. Maintenance revenue grew to $59.9 million in fiscal 2016, up 20% year-over-year above our original expectations, largely due to the benefits of a more front-end waited year than we typically experience. The recurring revenue comprising term license and maintenance revenue totaled $268.4 million in fiscal 2016, up 22% from the year ago. Service revenue was $144.8 million in fiscal 2016, down 4% from fiscal year 2015. The year-on-year decline has been a natural result of the partner engagement model we adopted approximately three years ago that has increasingly leveraged our SI partners for customer implementations. As a result, service revenues declined from 45% of total revenue in fiscal 2014 to 40% of revenue in fiscal 2015, and further to 34% of total revenue in fiscal 2016. The rate of this decline will moderate this year and will likely maintain a more moderate rate going forward, particularly as we begin to recognize in fiscal 2018 and sizeable portion of previously deferred services revenues. Geographically, the U.S. represented 55% and 54% of revenue in the fourth quarter and for the full year, substantially similar to fiscal 2015. Turning to our profitability, we will discuss these metrics on a non-GAAP basis and we have provided the comparable GAAP metrics and the reconciliation of GAAP to non-GAAP measures in our earnings press release issued today with the primary difference being stock-based compensation expenses. Non-GAAP gross profit in the fourth quarter was $104.1 million, an increase of 14% on a year-over-year basis, and represented a non-GAAP gross margin of 73.7%, an increase from 72.3% in the year-ago quarter. Breaking that down, non-GAAP gross margin for license was 98.4%, maintenance was 82.2%, and services was 9.2%. Services margin in the fourth quarter is typically impacted by the attainment of bonus targets. Services margins in this quarter was additionally impacted by the significant hiring and training in the third and fourth quarters as we mitigated capacity constraints and prepared for the expansion of work for our digital greenfield customer, as well as lower utilization due to the delay of certain projects. Total non-GAAP operating expenses were $61.4 million in the fourth quarter, an increase of 14% compared to a year ago. This resulted in non-GAAP operating income of $42.7 million, above the high-end of our guidance range and represented a non-GAAP operating margin of 30.3%. This strong margin performance was primarily the result of higher than expected revenue including the $2.7 million early payment which carried no associated costs which I had previously mentioned. With non-GAAP operating income above expectations, non-GAAP net income of $28.7 million or $0.39 per diluted share was also above the top end of our guidance range. Looking at profitability for the year, non-GAAP gross margin was 69.4%, up from 66.0% in fiscal 2015, primarily due to the increase in license and maintenance as a percentage of total revenue, offset modestly by lower services and maintenance margins. Non-GAAP operating income was $84.9 million, up 22% from the year ago resulting in the non-GAAP operating margin of 20% considerably better than our expectations at the beginning of the 15% to 17% annunciated [ph] at the beginning of the year. During the year we added 195 employees of which 58 were in research and development, 29 in sales and marketing, and 73 associated with our professional services organization. Growth in our R&D organization was lower than we forecast as hiring was sluggish in the first half. A substantial portion of the growth in our services organization was driven by hires in the second half as 64 service professionals were added out of a total of 73 in the year to lease capacity issues which began to emerge in the Americas and to a lesser degree which we anticipated in APAC. This does not represent a change in our partnership strategy indeed, we look forward to continuing our mutual and beneficial activities as our SI partners are trained in our newer products and establish a greater presence in certain international markets. Our increased pace of hiring in the second half was also due to our decision to expand our work with our digital greenfield customer to a second line of business. We anticipate this new work stream to start this quarter. Turning now to our balance sheet, we ended the year with $735.8 million in cash, cash equivalents and investments, up from $680.8 million at the end of the third quarter, primarily due to $49.3 million in operating cash flow in the quarter. In fiscal 2016, we generated free cash flow of $92.8 million, an increase of 62% from fiscal 2015 and above the high-end of expectations that we outlined last quarter. This increase was primarily attributable to high collections in the period. Total deferred revenue was $70 million at the end of the fourth quarter, increasing from $68.3 million at the end of the third quarter. As a reminder, our deferred revenue balance can vary widely from quarter to quarter and is not a meaningful indicator of business activity, since we typically build term license contracts annually and recognize the full annual payment upon the due date. Further long-term deferred revenue does not reflect our multi-year contracts. In fiscal 2017 however, there would be a new and notable element of deferred revenue as a result of the significant activities we've mentioned with our digital greenfield customer. We currently estimate that deferred revenues attributable to this engagement will approve to $20 million to $25 million prior to commencing the recognition of these revenues. This estimate is based on our assumptions regarding when the project is complete and the timeframe over which these deferred announcement will be ratably recognized, these estimates may change. Now I'd like to turn to our outlook. As you may expect, we have refined and updated our expectations for fiscal 2017 from the general guidance we offered during our last call. For fiscal 2017 we anticipate total revenue to be in the range of $471.5 million to $483.5 million, representing an increase of 11% to 14% over fiscal 2016 at the midpoint. We expect fiscal 2017 to return to more typical seasonality patterns with the first quarter and third quarter being low compared to the second and fourth quarters. Within revenue, we now anticipate that license revenue would be in the range of $252 million to $262 million, an increase of 15% to 19% from fiscal 2016. Revenue from our two recent acquisitions are only expected to contribute $4 million to $6 million in average license revenue due to purchase accounting reductions and deferred revenue balances and the fact that revenue from these sales will either be deferred until contract completion or recognized ratably or combination thereof. As we look at the year, we note that our pipeline is biased towards larger transactions. The size, timing and structure of large transactions is somewhat harder to predict which recommends the slightly more conservative approach to developing our expectations. Nevertheless, we continue to target term license growth of 20%. We currently anticipate perpetual license revenue for fiscal year 2017 to be roughly in line with fiscal 2016 on a dollar basis. We expect maintenance revenue to be in the range of $65 million to $68 million, representing an increase of 8% to 13%. The more modest growth of maintenance revenues reflects the benefit of a more front-loaded fiscal year '16 and the return to more normal back-end rated seasonality which we expect this year. We now expect services revenue to be in the range of $150 million to $158 million, an increase of 4% to 9% from fiscal 2016. This estimate only includes the recognition of a small portion of the services we will deliver to our digital greenfield customer over the year. We continue to expect services revenue to grow more modestly than license revenues overtime. The impact of several decisions we've made since our last call will have the effect of lowering our gross margins and consequently our operating margins this year. As Marcus mentioned, we carefully deliberated before expanding the scope of our digital greenfield engagement to a second line of business. In part, our caution was due to the margin impact of this engagement. While we are invoicing and receiving payment for this work, the deferral of associated revenues will be accompanied only by the deferral of direct costs. When combined with the additional cost needed to hire and train the personnel that must be added to accommodate this increased need, service margins will decline. This engagement has also required an investment in scalable cloud and production services operations which will impact our license and services margins. Notably, our outlook does not currently anticipate adding additional customers under this engagement model. We further anticipate that our two recent acquisitions will be moderately dilutive in the fiscal year, negatively impacting our gross and operating margins with a cumulative operating margin decline and upto 2% based on our current outlook. As with purchase accounting impact on deferred revenue, the late revenue recognition on new sales and incremental R&D investments burdened our operating margins. Finally, in fiscal 2016 we instituted a program whereby employees outside the United States will see an increasing portion of long-term compensation in cash and not stock. While this will reduce the growth of our overall stock-based compensation expenses, we expect it to negatively impact our non-GAAP operating margins by approximately one half of a percentage point in fiscal 2017. While we don't normally provide a view of gross margin, we thought it would be helpful in this instance to provide perspective on the cumulative effect on these factors. Based on our current outlook, relative to fiscal 2016, license margins will decline by approximately one percentage point, maintenance margin trends already visible during the latter half of fiscal 2016 will also decline approximately one percentage point as we increase staffing to support additional products. Services margin is the most affected and we expect services margins to decrease by approximately six percentage points when combined gross margin is impacted by approximately two percentage points. As a result, we are estimating non-GAAP operating income to be in a range of $76 million to $88 million, resulting in full year non-GAAP operating margin of approximately 17% at the midpoint. Though decline from our fiscal 2016 outperformance, we expect a recognition of deferred revenue and anticipated accretion from our two acquisitions to positively impact operating margins beyond fiscal 2017. We anticipate non-GAAP net income in the range of $52.2 million to $60.1 million or $0.69 to $0.79 per diluted share based on approximately $75.6 million diluted shares. In addition to guidance metrics we are providing, we also believe it is worthwhile to share our views on cash flow for the fiscal year, while we may not anticipate -- while we do not anticipate providing cash flow expectations on the quarterly basis. In fiscal 2017 we expect to generate free cash flow between $70 million to $85 million, this is composed of anticipated operating cash flow of $78 million to $93 million plus anticipated capital expenditures of approximately $8 million. Looking at the first quarter of fiscal 2017, we anticipate total revenue to be in the range of $84.5 million to $88.5 million. Within revenue, we expect license revenue to be in the range of $35 million to $37 million, with more challenging compares due to early payments of approximately $2.7 million in the fourth quarter, which I've already mentioned. We anticipate maintenance revenue of $15 million to $16 million and services revenue of $34 million to $36 million. For the first quarter, we anticipate non-GAAP operating loss of between $4 million to $8 million, and the non-GAAP net loss of between $2.6 million and $5.3 million, or $0.04 to $0.07 per basic share based on approximately $73.3 million basic shares. Note that operating results in the first quarter will be impacted by a change in the timing of our annual connections conference which occurred in the second quarter of fiscal 2016 and which adds approximately $2 million in cost to the first quarter. Expenses associated with closing and operating prospect [ph], add approximately $3 million to the first quarter. And finally, it's important to note that the effective early -- of the early payment I've discussed, the progress of that same amount and profitability in the quarter. We anticipate a GAAP tax rate of approximately 36%, and an effective non-GAAP tax rate of 34% for both, the first quarter and the fiscal year. In summary, our strong performance during fiscal 2016 reflects the continued transformation of the industry that our platform facilitates. We believe the hybrid deployment capabilities of our latest release will help drive continued demand for insurance suite growing traction of our data and digital portal products and opportunities to our new predictive analytics and underwriting management applications. With a vision that will enable insurers to thrive in this rapid time of change, we are confident that we can extend our track record of profitable growth and extend our leadership position in fiscal 2017 and beyond. Operator, can you now open the call for questions?
Operator: Thank you. [Operator Instructions] And our first question comes from Sterling Auty with JPMorgan.
Sterling Auty: Thanks, hi guys. I actually got disconnected for couple of minutes or so, hopefully this was already covered. But when you look at the pure public cloud implementation or version of the core platform, where is the interest level in the customer base coming from at the moment? Are you seeing it's the smaller customers that are interested in it or is it for smaller lines among some of your bigger customers or is it kind of up and down the customer size, ones that you're seeing that interest level?
Marcus Ryu: Sterling, I would say that there is a broad cross section of interest. It’s a topic that the CIO of any sized insurance company wants to have a discussion about and sometimes the discussion is not only about our software but our view on how they should think about their overall enterprise IT environment. So it's -- I think there is a broad level of interest across the industry, and I suspect you would find the same in other industries. In terms of the segment of the market that we expect the most rapid adoption or those who we expect to deploy Insurance Suite 9, on public infrastructure very early, and we haven't even released all the aspects of IS9 yet, but I think we would expect it to be probably smaller insurers or greenfield subsidiaries of large insurers, but we could be surprised in our respect and if so we'll adapt accordingly.
Sterling Auty: All right. And then my one follow-up, in terms of the investments that you're making here for this coming fiscal year, how should we characterize, how much of that incremental investment is other investments whether it be marketing, advertising, etcetera. And within the headcount, how should we think about the split of how much of it is going to go into R&D versus other functions?
Richard Hart: Sterling, it's Richard. I think as we look out to fiscal year 2017, I think we're going to see more adds to R&D, in fact this year R&D adds were quite light because we delayed hiring -- primarily until the second half when the market was a little bit more ready. So, I think we're going to continue to see hiring in R&D and maybe in fact increase the actual headcount as we deploy more of those resources to our new polling center although we will continue to hire in all of our locations. We will continue to hire in services during the year and as we seek to address -- continue to address some capacity constraints that crept into the system because of the storage digital greenfield project that we've undertaken, and so you should expect to see hiring in services commensurate with the hiring that we made this year. We are also adding about 20 to 30 people in the sales and marketing organization, primarily handle sales of new products. So we will be increasing quota carrying capacity modestly, and we will also be adding our pre-sales and sales consulting organizations.
Sterling Auty: Got it, thank you.
Operator: Thank you. Our next question comes from Ken Wong with Citigroup.
Ken Wong: I guess touching on the -- this capacity greenfield project, so you mentioned $20 million to $25 million in deferred revenue. Any rough sense for how much of that would hit in Q4 when you said that this project probably goes live?
Richard Hart: Since we're looking at the project starting towards the latter half of fiscal year '17 and maybe in the fourth quarter, I think we're only currently modeling the low-single digits.
Marcus Ryu: A clarification there, the project has started, when the project will be going live. The initial go-live will be -- is expected in the second half of the year, probably closer to the fourth quarter. So it will be only a few months of ratable recognition of those deferred revenues.
Ken Wong: Got you. And then -- I guess on the gross margin impact, so you mentioned -- just trying to circle back there. Around six points on the services side but should we expect that in Q1 that's going to hit meaningfully more so than kind of in the back half of the year? And if so, can you give us some sense of what the margin might be in Q1?
Richard Hart: So I think you should expect that to hit linearly throughout the year and unfortunately the margin impact in any particular quarter can vary quite a bit. In part, because of seasonality in the services line whether it's due to holidays or due to summer vacations. So it's a little bit difficult for us to give you guidance on services margins for the quarter right now. But I think if you guide yourself through with the seasonal patterns that we've kind of established, that will give you a sense as to where that impact will be felt, but the 6% applies to the total year.
Ken Wong: Got it. And then Marcus, it sounds like for fiscal year '17 you guys mentioned that's going to be maybe more big deal loaded. I guess would you say that that -- again it sounds like it's definitely more Tier 1. Is that just more result of just customers just finding their way on the platform? I'm just kind of getting closer to actually deploying on the platform or is it just you guys have engaged with more of these customers and what we should be expecting longer sales cycles and things that potentially fall to the back half of the year?
Marcus Ryu: No, we wouldn't want to suggest there is a shift in the pace of deals getting done. I think you heard from us over our whole series of calls, important for the Tier 1 segment or the individual accounts within the Tier 1 segment. The fact that we have a long-term -- in some cases, multi-year conversations going with them and the way that it has affected our outlook for this current year is an overall pipeline that is, I would -- I think we'd say modestly tilted towards larger accounts, both net new and existing relationships. And given that fact, and our -- the traditional conservatism that we apply to the forecast in building a financial outlook for the year, there has definitely been a modest effect of that given how early we are in the year right now.
Ken Wong: Got it. And I forgot, kind of a follow-on that earlier greenfield project line of questioning but -- you mentioned no other customers currently you guys are working with. Is it fair to assume once you guys have the go-live in the back half of the year that it's something that you could bring more people into or I guess basically, is that sort of the threshold or can you guys introduce new customers right now that are into that particular project?
Marcus Ryu: Yes, the first half is what you said, kind of, is absolutely the intention. We're building -- as in all things we do a standard product that we intend to license with standard as possible commercial terms to as many insurers as possible. There is a bit more collaboration with this particular customer and the accounting treatment of that evaluated some of things that we're intending to do here as undelivered elements for this first project but precisely the point is to build a market leading offering that we can license repeatedly and that is absolutely what our customer wants as well.
Ken Wong: Okay, it's fantastic. Thanks a lot guys.
Operator: Thank you. We'll take our next question from Justin Furby with William Blair & Company.
Justin Furby: Yes, thanks guys. I wanted to first ask on seasonality. I guess Marcus or Richard, can you remind us why last year was more balanced across quarters and why you expect more seasonality return this year? And I'm curious how you're guiding to the digital and data products this year? It seems like they are probably with a positive surprise, a 25% of bookings. If it comes in again at that level in fiscal '17, would that be more upside or what is the guidance factor on those products? And you will get a couple of follow-ups.
Marcus Ryu: Sure, I appreciate the question Justin. So the first question was about the linearity or seasonality of the year. I would love to understand why the year that we have -- that we just finished was more linear than usual. I think it was just a modest statistical loop because certainly every other year we've had including the ones when we were a private company had the classic enterprise software sales pattern of deals shifting towards the back half of the year, no matter where in the calendar we had rotated our fiscal year. And last year was a bit anomalous in that respect just because of a couple of transactions. And our outlook right now, here we are in the first month of -- or the second month of the fiscal year is that it's probably going to be more like the standard seasonal pattern, though there is only the chance of being surprised again, it only takes a few deal to make a big difference in that shape. The second part of your question was about the contribution of newer products to the bookings expectation for the year. We were positively surprised last year, I think that because while first there is a tailwind of demand for the themes that our newer products address, namely data and digital. Also our sales team I think found some real targets of opportunity on existing customers that were very satisfied with their platform or the insurance suite investment they made and saw a very logical expansion of the scope of their program to include data and digital. And then we added a bit to that with some modest sales incentive that in hindsight we're probably a bit more than necessary, although which motivated more success in the newer products than we had originally expected. Looking into this year, we don't think -- we don't expect any acceleration there. It could be something quite close to what we experienced last year but it's important to keep in mind that the newer products are combined with an insurance suite sale or bundled with that. And so in a sense it's -- it is a subset of the total addressable market that we have whereas we can -- we're aspiring to sell insurance way to lots of met new customers as well, and that's obviously not the case with the newer products.
Justin Furby: Got it, that's helpful. And then Richard, there were lot of moving parts with guidance and I guess could you go back to the cash flow guidance, I thought you said high 60's, low 70's operating cash flow and if I heard that right, that's a pretty big disconnect between your operating or your EBITDA guidance for fiscal '17. So what -- did I hear that right and what drives the disconnect better [ph]?
Richard Hart: So Justin, please correct me; are you referring to my cash flow guidance for or perspective for fiscal year '17? If that's the case, I think you're understating that perspective because I think as I'm just trying to find it again, I apologize I had a lot to say today.
Justin Furby: Yes, I was referring to fiscal '17 Richard, just the operating cash flow data. I think…
Richard Hart: So what I said was $70 million to $85 million.
Justin Furby: 70 to 85, all right, okay. Sorry, is there anything to think about in terms of that versus your margin guidance and just from a cash flow perspective versus last year and how it played out?
Richard Hart: I mean -- I think last year we did very, very well in collections which led to an outsize performance on the cash flow for operating and free cash flow. I think this year as we give guidance for the year or give our perspective for the year, which is something we have not done in the past, we want to take a slightly more conservative view simply because we can be whip side [ph] a little bit by the effects of working capital on that perspective.
Justin Furby: Okay, got it. And then last question on the margins for this year, I guess when you think out to what you laid out last year, the analyst data, high 20% to 30% margin, sort of five-year frame look itself. When our four years from that, is there any change to that deal? It would seem like you're being a pretty big ramp exiting fiscal '17 to get there. I guess are you really thinking that view as you start to get into some of these newer cloud investments? Thanks.
Richard Hart: Sure. The timing of those -- of any potential transition, a part of our licensing model can have an impact on margin that is difficult for us to control over a long period of time. Having said that, I think if you look at the -- what we hope to be able to achieve from the pricing perspective for that particular type of engagement, I think the margin impact is actually quite modest when those projects actually come to full realization. And when we can amortize the investments we've made in cloud operations and production services over multiple customers as oppose to just one. And indeed, the margin impact this year naturally reverses a significant portion of itself, simply from the operation of the deferred revenue that comes in next year. So that deferred revenue actually carries with it a very healthy margin, and so that deferred revenue flows through the year next year, you will simply see margins accreting kind of almost to the same level that they were impacted this year for that particular engagement. So we are not moving away from our current commitment and we will update the street if we ever decide to do so.
Justin Furby: Thanks very much guys.
Operator: Thank you. Our next question comes from Nandan Amladi with Deutsche Bank.
Nandan Amladi: Thank you, good afternoon. The first question is on the mix of new versus upsell. You've launched a whole bunch of new products this past year, Version 9 now has different configurations you've been deploying in. So has that changed at least early indications on the mix between you and upsell?
Richard Hart: Nandan, at Analyst Day we were planning on talking a little bit about the mix between our land and expand strategy. Last year if you recall, we were slightly weighted towards land, this year you will see the reverse. As a result of the fact that we were selling a lot of the new products to our installed base, as well as the fact that we were able to convert a couple of existing large clients with additional sales. So I think the preliminary view of that kind of land and expand statistic is, that we were 60% expand this year versus 40% land. So indeed, more in line with where we were in 2012 when we -- in 2013 when we expanded our licenses to nationwide in hard part [ph].
Nandan Amladi: All right. And my second question you probably, I've answered this already. The ramped deals, obviously, those had counters upsell. So if you've shift seeing that shift, if that explains largely.
Richard Hart: Yes, so we haven't talked about it but I think this year as we look through -- pass through the year, we note that the ramp transactions represent on a percentage basis about the same as they did last year as a percentage of sales. So we think that escalating payments in our licensed agreements or at least a significant minority of those licenses seem to be here to stay.
Nandan Amladi: Great, thank you.
Operator: Thank you. Our next question comes from Alex Zukin with Piper Jaffray.
Alex Zukin: Thanks for taking my questions. So maybe I missed this in the prepared remarks or maybe just a step back for a second, Marcus, is there any chance you can maybe simplify or just introduce this digital greenfield product; what is the strategy? Is this a domestic or international customer? And ultimately why you engaged in this arrangement in the first place and what's kind of the pay-off behind some of these investments that you've made? And then I've got a follow-up.
Marcus Ryu: Sure. I'm happy to give a little more context. Out of respect for the customer and their own business intentions, you will understand that we don't want to share their name specifically but I think I can tell you, it is the U.S. customer, it's a large P&C player with -- that writes many different standard lines of P&C insurance. Like other insurers, they feel both the pressures and the opportunities of -- even there is change in end market behavior for new digital technologies, for new approaches and to particular analytics and alike. And they have a notion that they can go to market -- they want to go to market as rapidly and even vigorously as possible with a new offering as unburdened as possible from their current state business, even with some other marketing approaches wrapped around that, try to make a splash in the market. And that -- we see that kind of innovation or that kind of intention expressed both by, very longstanding, well established insurers as well as new entrants. It's very thematic of what we're seeing in the industry overall and it's a trend that we think normally is inevitable but the one you want to have a central role in enabling. So everything that they are doing will be based on our platform. Some of the capabilities that they want are net new functionality to what we offer today and there was an opportunity to collaborate with them in a really -- kind of high stakes market live context to get their advice and their inputs and prioritization as we put those features into the platform. There was another very important dimension here in that, they want to deploy at cloud base as possible, and that is a significant difference from really all of our other customers with the exception of a few things on the margin that we've done with Guidewire Live and are like -- in that we will be taking responsibility for their production, the production operations of their use of our software. And that involves new competencies that legally haven't developed in the company upto this point but are very much a part of the future that we expect. So it was a combination of the opportunity to work with a significant brand name insurer doing very innovative on the Vanguard go-to-market -- digitally native go-to-market approach, a chance to build our own cloud and post -- and application management capabilities alongside a really live and important customer and then to do so with potential -- growth expansion potential under the right kind of commercial framework that we hope to become representative of how we serve customers in the future. So there were many attractive aspects and the only unfortunate aspect that gave us a lot of pause in figuring out how to do this was that the accounting treatment of it required a substantial deferral or really, all the revenues associated with the deal. And we decided that given that substantively we were getting all of the other things that we wanted that we would -- we're worth taking on a deferral of revenues really within a one year timeframe unfortunately spans a boundary or a fiscal year as you see reflected in the guidance we've just given, so we meant to undertake this project and that's what we've done.
Alex Zukin: And Marcus was this an existing customer that was a policy customer with guide where that you expanded the relationship whether or was this a net new customer that engaged and completely -- that you've engaged in a net new way?
Marcus Ryu: It's the former, we had a relationship with their current state business which is more conventional style project with involving data conversion and integration into an existing enterprise IT environment and are like -- this customer also -- at the same time that business will continue -- we wanted to take a greenfield approach to different market segments with a completely digital kind of strategy. So it's the same enterprise but in a sense two different projects under that roof. There is a longer term path of conversion but at this stage of the project it's really two different distinct efforts underway.
Alex Zukin: And then separately, last Q4 you guys signed a record, I think five Tier 1's. Can you update -- and you mentioned farmers I think in the script as one were you, expanded into claim center in addition of kind of the policy center -- sign of the time. Can you update us on kind of the penetration of the total potential licensing opportunities at those? And how you're thinking about that in terms of the guidance for the next year?
Marcus Ryu: Sure. Just to reiterate what I said in the prepared remarks there was also International Australia Group or IAG which is the largest domestic insurer in Australia, they are a Tier 1 by our definition. We have served them really with an acquired subsidiary in New Zealand and this new relationship that we're starting with them is a much more enterprise-wide for their core domestic business. And then the other one I mentioned was MAPFRE which is a net new customer, new for us, quite a large multi-national and a company at Europe based in Spain, that's a new relationship. To the other part of your question about expansion within some of the new Tier 1s that we signed, that is absolutely happening, not exactly at the same pace and relationship as you would expect but we've advanced dialogue with multiple of them and they comprise a meaningful portion of our outlook for this current fiscal year.
Alex Zukin: And then maybe Richard, just a quick one on -- you may have addressed this in the Q&A already. But the maintenance revenue -- the sequential decline in the maintenance revenue in Q1 that looks a little bit different, is that because of some of the pull-in that you mentioned or is there some other dynamic we should take note of?
Richard Hart: Yes, that's right. I mean unfortunately every once in a while we have catch-ups and true-ups that can modestly influence any particular quarter. In this particular case in Q4, we benefited by about $900,000 of that kind of recognized maintenance set of payments that were being -- in some cases were being made, in some cases the contract required us not be involved until acceptance but those announcements were curling and that's the primary effect from quarter to quarter. On a year-over-year basis, that seems to be understood as that last year we benefited simply by a front end loaded calendar of new deals and therefore we had more time to generate more maintenance revenue during the year whereas this year we're going back to our more traditional seasonal pattern, and in fact if you look at Q1 and you actually adjust for the effect of the prepayment, Q1 is growing 11% year-over-year which is much more in-line with our traditional Q1 dynamic.
Alex Zukin: Thanks guys. I'll jump back in the queue.
Operator: Thank you. Our next question comes from Tom Roderick with Stifel.
Tom Roderick: Hey gentlemen, good afternoon. Thanks for taking my question. Marcus, can you just talk a little bit more about your current thinking about the go-to-market for your cloud-based offerings, Version 9, and particularly I'd love to hear a little bit more about any sort of incremental CapEx plans that sort of has to be rolled into the model. And then beyond that, what kind of role can your global services partners take in deploying cloud as well? Thanks.
Marcus Ryu: Sure. First an important clarification that what we are releasing with Insurance Suite 9 is a cloud deployment option, you can take our software and run it in a production environment on public infrastructure, most obviously Amazon Web Services or Azure. That does not commit us in those deployments for us to be the one taking production responsibility for the deployment. And it does not fundamentally change the nature or the division of labor that we have with our systems integrator partner. As you'd expect, those partners are very enthusiastic to be involved in any project, whether it's deployed on-premise or on public infrastructure and we expect that will continue pretty much along the same track that we've had before. In terms of the capital requirements for insurance, there really are none that specifically overtime as we -- as part of our functional roadmap as we offer services that will be cloud native, some assets of the functionality that we intend to develop will be delivered in -- at the cloud native service kind of form. And there may be some modest CapEx that's associated with that development and how we characterize the investment to build those services versus our traditional software approach but those are modest and don't really, materially affect our outlook certainly for this year.
Tom Roderick: Got it, that's a helpful clarification. And then with all the success you've had in last year around the digital portal business and seems like that will reset to continuing going forward. Can you provide a little bit of an update just around some of the ongoing traction with Guidewire Live apps, the suite of the apps you've got there and what the existing partners are doing to sort of continue to put some of their own data into Guidewire Live and how they are thinking about that these days?
Marcus Ryu: Yes, we've evolved our go-to-market approach with Guidewire Live and the whole thesis about the way that predicted analytics and data visualization will be used by the industry, so it's been meaningfully useful period of working with customers with it but I think we've concluded that the initial hypothesis of how we would go to market with that functionality and standalone almost differently, separately branded category of products isn't the most effective and that really what insurers wanted to see that data visualization and that -- and any kind of analytic insight that comes out of that data to be embedded with the core application. And so we've taken the approach of kind of incorporating that into the future sets of what we're doing with -- really insurance suite itself and it's a good early example of what I just mentioned in response to your other question Tom about a cloud native service that is delivered in sort of hybrid warm [ph] to customer. And from the end-users perspective, it's all the same, whether domestic of functionality or delivered on-premise and some come from calling a cloud-based service. So that's the approach that we're taking with Live and the big push that we're making overall with our data initiative is a combination of the business and some kind of conventional business intelligence but in a very insurance specific form and getting the most of out the predictive analytics acquisition that we made just a few months ago and applying predictive analytic intelligence to all the decision in the insurance lifecycle. I think there is enormous potential for that and it's actually a catalyst even for core system sales and that insurers recognize that's -- it's essential to their competitiveness in the future.
Tom Roderick: That's great. Thanks very much. I appreciate it.
Operator: Thank you. [Operator Instructions] Our next question comes from Rishi Jaluria with JMP Securities.
Rishi Jaluria: Thank you for taking my question. Just kind of a quick one for you Richard on the cash flow guidance coming back to that. The cash flow guidance you gave was roughly in-line with what you're giving in terms of guidance for non-GAAP operating income for the year. And I was just trying to understand because I know the dynamics affecting operating income include deferrals of revenue related to this digital greenfield project as well as the investment, and I'm just wondering how that's -- why the cash flow would still be in-line and still be declining because it wouldn't be impacted as much by the deferral revenues.
Richard Hart: Yes, you're absolutely right in understanding that deferral of revenues will actually create a little bit of spacing [ph] between reported operating income and reported cash flows. If my cash flow guidance is modest, it's because I have seen over the last two years a very big swing in accounts receivable significantly affecting that line. If we are able to maintain DSOs where we were able to finish this year, I believe cash flows will be higher than what I've indicated that I wanted to just take a conservative position on that.
Rishi Jaluria: Okay, thank you very much.
Operator: Thank you. Our next question comes from Brent Thill with UBS.
Brent Thill: Thanks. Richard, it's been four years historically when you were at 18% margins that came in higher this year, kind of blew out the trend. Now you're guiding margins below what you've done the last five years. So I think everyone has -- try to make sure we digest this correctly and if I just want to make sure I get this correct. The result of this is because of the new line of business, secondarily, the return of larger deals which is -- are lumpier and then thirdly, increase in sales and marketing. Is there anything else to take into account why that should trend down after it's been starting to trend back up after this year?
Richard Hart: Yes, I think what I would suggest is that this should be viewed as a somewhat temporary decline that have we suggested margins will come back into line next year and some of the accounting related effects of the -- work with this digital greenfield customer kind of hit us this year. But then as we hope, we're still recognizing that deferred revenue next year which brings along with it quite a healthy margin. You will see the benefits of that transition clearly in the next fiscal year. In addition to that, one of the realities of our industry is that anybody that we acquire will likely not have the requisite ability to account for revenue in the way we account for revenues because they will miss one of the key important elements of having the SOE or standalone value or be able to recognize revenue as we do when we sold the software. So as a result, one of the challenges we face is that we are funding a sort of sale opportunities towards the two new acquired transactions in a way that we don't benefit from until we establish the SOE or until the deferred revenue write-downs that we experienced in the first year for those revenues that are ratable kind of come back in year two. So those are the two big things that you're going to see impacting margins. What you will not see impacting margins is any significant increase as a percentage of revenue of expenses, sales and marketing or R&D. Those expenses will be in line pretty much from year-over-year -- on a year-over-year basis.
Brent Thill: Thank you.
Operator: Thank you. Our next question comes from Bradley Sills with Bank of America Merrill Lynch.
Bradley Sills: Thanks. Not to be the dead horse too much, but on the digital greenfield investment that you're making; it's a new line of business but it's commissioned by a single customer. How do you envision kind of the long-term for that business as its potentially the size of your data business. Overtime, is it applicable to the broader installed base, given that it's commissioned by single customer, what gives you the confidence that this is something that you view as applicable to the wider market in your installed base? Thank you.
Marcus Ryu: Yes Brad, I think I may have contributed to a misunderstanding in my prepared remarks about the line of business. This is not a new line of business for Guidewire, these are new capabilities for our core platform that we intend to sell through the entirety of our markets. What -- the new line of business we referred to is for our customer who expanded the business scope of the project, and that decision was kind of finalized in the quarter which resulted in some of the change in our outlook at least as far the GAAP numbers are concerned. So it's really about working with a specific customer to advance the Vanguard of our core products capabilities that led to an accounting deferral of the work we're doing with that one customer. But the products that we will have -- the products that we have today and what they are deploying will be something applicable to the entirety of our markets.
Bradley Sills: Got it.
Richard Hart: What is really is the production services that we will be ultimately accountable for in this engagement post go-live. And we are building that capability and that skill set, so that should other customers want to engage with us in that way will be able to actually scale that up going forward.
Marcus Ryu: Yes. And Richard makes a good point, it's -- this is non-additional product, that capability is a different model of how we can serve customers that have really want more extensive division of labor with the technology provider. And in this particular case, we are taking on the entirety of that work but going forward we expect that even projects that have that deployment model will do one with the standard small amount of Vanguard personnel complemented by mostly systems integrator staff.
Bradley Sills: Great, thanks for the clarification guys.
Operator: Thank you. That does conclude today's question-and-answer session. I'd like to turn the conference back to our presenters for any additional or closing remarks.
Marcus Ryu: No additional comments. Thanks for joining us in today's call.
Richard Hart: Thank you.